Ana Soro: Good afternoon. I'm Ana Soro from Palantir's finance team, and I'd like to welcome you to our first quarter 2024 earnings call. We'll be discussing the results announced in our press release issued after the market closed and posted on our Investor Relations website. 
 During the call, we will make statements regarding our business that may be considered forward-looking within applicable securities laws, including statements regarding our second quarter and fiscal 2024 results, management's expectations for our future financial and operational performance and other statements regarding our plans, prospects and expectations. 
 These statements are not promises or guarantees and are subject to risks and uncertainties, which could cause them to differ materially from actual results. Information concerning those risks is available in our earnings press release distributed after the market closed today and in our SEC filings. We undertake no obligation to update forward-looking statements, except as required by law. 
 Further, during the course of today's call, we will refer to certain adjusted financial measures. These non-GAAP financial measures should be considered in addition to, not as a substitute for or in isolation from GAAP measures. Additional information about these non-GAAP measures, including a reconciliation of non-GAAP to comparable GAAP measures is included in our press release and investor presentation provided today. Our press release, investor presentation and other earnings materials are available on our Investor Relations website at investors.palantir.com. 
 Over the course of the call, we will refer to various growth rates when discussing our business. These rates reflect year-over-year comparisons unless otherwise stated. Joining me on today's call are Alex Karp, Chief Executive Officer; Shyam Sankar, Chief Technology Officer; Dave Glazer, Chief Financial Officer; and Ryan Taylor, Chief Revenue Officer and Chief Legal Officer. 
 I'll now turn it over to Ryan to start the call. 
Ryan Taylor: We started the year exceedingly strong with revenue of $634 million, an increase of 21% year-over-year driven by the momentum of AIP and our continued strong performance in U.S. commercial. Our results also highlight the growing strength of our U.S. government business and our enduring mission-critical work. The continued interest in AIP is loud and clear in the conversations I'm having across our customer base. We've shared our plans to capture the market with AIP, and our results show that our strategy is not only succeeding, it is accelerating. 
 While still early days, our focus is on building the foundations of a long-term business. We intend to relentlessly continue landing new customers and subsequently expanding those engagements as our products gain traction and have meaningful impact within enterprises. Not only are we increasing the volume of new customers, but I'm pleased with our ability to grow these new customers as well. 
 With regards to landing new customers, we've sustained our high volume of boot camps with over 915 organizations participating to date to meet inbound demand. We are also seeing substantial deal cycle compression. As one example, a leading utility company, signed a 7-figure deal just 5 days after completing a boot camp. Another customer immediately signed a paid engagement after just one day of their multi-day boot camp and then converted to a 7-figure deal 3 weeks later. We expect the favorable unit economics and higher throughput to continue to accelerate our business. 
 U.S. commercial is where we're seeing the greatest transformation. While Q1 is seasonally our slowest quarter, AIP adoption by new and existing customers helped drive notable growth in customer acquisition and revenue in our U.S. commercial business. In Q1, we added 41 net new customers in U.S. commercial. Our customer count increased 69% year-over-year and 19% quarter-over-quarter, compared to 8% quarter-over-quarter growth in Q1 2023. Excluding strategic investments, our U.S. commercial revenue soared by 68% year-over-year and 22% quarter-over-quarter. 
 New customers span a variety of industries, as AIP's applications seem endless, from the largest independent bottling company in the U.S. to a leading energy and infrastructure company and a multinational airline. In Q1, our U.S. commercial business had customers from 56 of the 74 gigs industries. 
 As we're landing new customers, we're also seeing those customers expanding their work with us. Across my conversations with customers, I've seen the recurring theme of them asking me how they can do more, faster with enterprise transformations driven by AI. We're showing them how they can move their AI strategy beyond chat. Existing customers such as Lowe's, Cleveland Clinic and General Mills, among others, are realizing the extensive possibilities of AIP within their own enterprises and increasing their scope accordingly. 
 Lowe's accelerated its engagement from a starting point of no AI to utilizing production level AI for over 1,000 customer service agents, resulting in a 75% reduction in overdue tasks, as one of its directors noted, "We achieved this in just 4 months and onboarded 1,000 users within 3 weeks of rollout". 
 Cleveland Clinic committed to a 10-year expansion deal to deploy more broadly across its hospitals. General Mills expanded the scope of its work further last quarter as its Senior Director noted, "We're saving on average about $14 million annually, and it's really only deployed to part of our network as we speak". 
 We're seeing rapid expansions within key customer accounts. For example, a Fortune 500 industrial company signed a 3-year expansion deal, which increased the annual revenue run rate of our work with them nearly fivefold compared to our initial engagement with them in 2022. A Fortune 100 retail company started a pilot in Q2 2023, expanded to a use case conversion in August and expanded its work to a $12 million ACV enterprise engagement last quarter. These are just a few examples. More and more customers are expanding their work with us due to AIP and the incredible traction our software has within their organizations. 
 Turning to our U.S. government business. Our revenue continued to accelerate last quarter, increasing 8% quarter-over-quarter versus 3% quarter-over-quarter in Q4, with our products every day having critical impact on current world events. We see continued demand for Mission Manager and positive reception to First Breakfast. 
 Last quarter, we were honored the U.S. Army awarded Palantir, over $178 million to be the sole prime contractor to build a next-generation targeting node under the TITAN program. This marks the first time that a software company has won a prime contract for a hardware system and exemplifies Palantir's position as the software prime, opening the door to vast new opportunities. It is with immense reference that we approach building and maturing our revolutionary capabilities for our war fighters. 
 In our international government business, we are continuing to ramp up the critical work for delivery of the U.K. NHS federated data platform as well as providing defense capabilities to Allied Partners around the world. Looking at our business and its impact broadly, I'm invigorated about the year ahead. We have never had more conviction about AIP and the power of our software as well as our continued efforts supporting the most critical missions around the globe. 
 I'll now turn it over to Shyam. 
Shyam Sankar: Thanks, Ryan. The clear signal from AIP boot camps is that AI is for builders, so many anecdotes and quotes from customers all reinforcing the same point. They are getting more done in a day or 2 in AIP than, in a quarter or 2 without. 
 We have pioneered the approach to getting beyond chat and unlocking the value of LOMs in the enterprise, taking inherently unstructured inputs that are flying around the enterprise, be it e-mails, Slacks, PDFs, images, comments, audio and turning them into structured actions and outputs; taking an e-mail from a customer requesting a different product mix and turning it into an actual inventory allocation in the ERP system of record; taking a health claims denial and programmatically generating the documentation and supporting evidence from the clinical records and contracts; automating P&C insurance claims processing and even in government using vision models to narrow candidate products driving foodborne outbreaks at CDC; and we have started rolling out Build with AIP, a series of developer and builder oriented tutorials and reference implementations that enable builders to ramp quickly on the primitives and power of AIP and practical examples that unlock every employee at every customer. 
 Our growth is being driven by the incredible dynamism of the U.S. commercial market, and we believe the U.S. government will follow. With this momentum, we have launched builder boot camps in the U.S. government. The U.S. Army recently issued a memo identifying 2 Palantir systems, AIDP and Army Vantage as amongst the 5 total platforms approved for builders. The U.S. Army's Artificial Intelligence Integration Center, AI2C at Carnegie Mellon, leverages these platforms for half of their active projects and recently built an application for the 18th Airborne core with OSDK. 
 Our DoD customer recently hosted a hackathon showing the value of the open joint all-domain command and control or JADC2 SDK that we have been pioneering. One participant commented, nominating targets with GAIA assist turns a 6-hour workflow into 10 seconds. We continue to invest in Mission Manager, and we'll be extending it to the edge with our Edge X infrastructure and U.S. government. 
 Now customers can use their cloud instance as an integrated development environment for edge platforms, centrally build, test and continuously deploy and manage multivendor big tech edge ecosystems. It covers everything from streaming pipelines, OSDK-backed applications, native Gotham applications and third-party apps. 
 We are excited with our team of rock star partners to deliver on the U.S. Army's Titan program. This marks the first time a software company has won a hardware contract, firmly establishing the role of the software prime. We believe the core of this software target workbench will be critical in every cockpit, every vehicle and every ship. 
 Finally, I'd like to acknowledge the eye-watering work of our service members and our allies in meeting the moment defending against the massive Iranian attack on Israel. The Gotham investments in JADC2 performed excellently, and we're building even more even faster. 
 I'll turn it over to Dave to take us through the numbers. 
David Glazer: Thanks, Shyam. Q1 was a strong start to the year. Revenue growth accelerated to 21% year-over-year in the first quarter, driven by momentum in AIP and our U.S. commercial business and a reacceleration in our U.S. Government business. We delivered our sixth consecutive quarter of GAAP profitability, generating a record $106 million of GAAP net income in the first quarter. We also delivered our fifth consecutive quarter of GAAP operating profit, generating a record $81 million of GAAP operating income in the quarter. Adjusted operating margin expanded to 36% in the first quarter continuing to highlight the strong unit economics of our business.
 The revenue and profitability outperformance drove a 3-point sequential increase to our Rule of 40 Score from 54 in the fourth quarter of 2023 to 57 in the first quarter of 2024. This was the third consecutive quarter of an expanding Rule of 40 Score.
 Turning to our global top line results. We generated $634 million in revenue in the first quarter, up 21% year-over-year and 4% sequentially, exceeding the high end of our prior guidance. Excluding the impact of revenue from strategic commercial contracts, first quarter revenue grew 24% year-over-year and 4% sequentially. Customer count grew 42% year-over-year and 11% sequentially to 554 customers. Revenue from our largest customers continues to expand. First quarter trailing 12-month revenue from our top 20 customers increased 9% year-over-year to $55 million per customer.
 Now moving to our commercial segment. First quarter commercial revenue grew 27% year-over-year and 5% sequentially to $299 million. Excluding the impact from strategic commercial contracts, first quarter commercial revenue grew 36% year-over-year and 4% sequentially. We had a very strong quarter of commercial bookings. First quarter commercial TCV booked was $505 million, representing a 187% growth year-over-year.
 Our U.S. commercial business continues to see unprecedented demand driven by momentum from AIP. First quarter U.S. commercial revenue grew 40% year-over-year and 14% sequentially to $150 million, surpassing international commercial revenue for the first time. Excluding revenue from strategic commercial contracts. First quarter U.S. commercial revenue grew 68% year-over-year and 22% sequentially.
  AIP is driving both new customer conversions and existing customer expansions in the U.S. In the first quarter, we booked $286 million of U.S. commercial TCV, representing 131% growth year-over-year. Total remaining deal value in our U.S. commercial business grew 74% year-over-year and 14% sequentially. Our U.S. commercial customer count grew to 262 customers, reflecting 69% growth year-over-year and 19% growth sequentially.
 We generated $149 million in international commercial revenue in the first quarter, representing 16% growth year-over-year but a 3% sequential decline as a result of continued headwinds in Europe and the revenue catch up in Q4 that we noted last quarter. We continue to capitalize on targeted growth opportunities in Asia, the Middle East and beyond. Revenue from strategic commercial contracts was $24 million in the quarter. We anticipate second quarter 2024 revenue from these customers to decline to between $7 million to $9 million compared to $19 million in the second quarter of 2023. We continue to anticipate 2024 revenue from these customers to be approximately 2% of full year revenue.
 Shifting to our Government segment. First quarter government revenue grew 16% year-over-year and 3% sequentially to $335 million. First quarter U.S. government revenue grew 12% year-over-year and 8% sequentially to $257 million. As Ryan noted, we're excited to be the sole prime contractor under the Titan program, and we'll continue pursuing other defense opportunities. We believe we're well positioned to see growth in our U.S. government business over the course of 2024.
 First quarter international government revenue grew 33% year-over-year and declined 9% sequentially to $79 million as a result of the revenue catch-up in Q4 that we noted last quarter and continued headwinds in Europe. First quarter TCV booked was $904 million, up 128% year-over-year. Net dollar retention was 111%, an increase of 300 basis points from last quarter. The increase was driven both by expansions at existing customers and new customers acquired in Q1 of last year. As net dollar retention does not include revenue from new customers that are acquired in the past 12 months, it does not yet fully capture the acceleration of velocity in our U.S. commercial business over the past year.
 We ended the first quarter with $4.1 billion in total remaining deal value, an increase of 22% year-over-year and 6% sequentially and $1.3 billion in remaining performance obligations, an increase of 39% year-over-year and 5% sequentially. As a reminder, RPO is primarily comprised of our commercial business, as it does not take into account contracts with an initial term of less than 12 months and contractual obligations that fall beyond termination for convenience clauses, both of which are common in most of our government business.
 Turning to margin and expense. Adjusted gross margin, which excludes stock-based compensation expense, was 83% for the quarter. Adjusted income from operations, which excludes stock-based compensation expense and related employer payroll taxes was $226 million, representing an adjusted operating margin of 36% and marking the sixth consecutive quarter of expanding adjusted operating margins. Q1 adjusted expense was $408 million, up 2% sequentially and 2% year-over-year.
 Turning to the balance of the year. Given our conviction in the U.S. business, coupled with our margin expansion, we intend to boost investment in resources in the U.S., including an AIP and specific defense opportunities. While we expect expenses to ramp starting in Q2 through the back half of the year, we remain focused on calibrating expense growth below revenue growth for the full year in order to continue delivering on our goal of sustained GAAP profitability and GAAP operating income.
 In the first quarter, we generated GAAP operating income of $81 million, representing a 13% margin, our fifth consecutive quarter of GAAP operating income and fourth consecutive quarter of expanding GAAP operating margins. We generated first quarter GAAP net income of $106 million, representing a 17% margin, our sixth consecutive quarter of GAAP profitability. First quarter adjusted earnings per share was $0.08 and GAAP earnings per share was $0.04.
 Additionally, our combined revenue growth and adjusted operating margin accelerated to 57% in the first quarter, a 3-point increase to our Rule of 40 Score from the prior quarter. We will continue to strive to maintain this exceptional balance of top and bottom line performance.
 Turning to our cash flow. In the first quarter, we generated $130 million in cash from operations and $149 million in adjusted free cash flow, representing a margin of 20% and 23%, respectively.
 In Q1, we also repurchased approximately 0.5 million shares as part of our share repurchase program. As of the end of the quarter, we have approximately 990 million remaining of the original authorization. We ended the quarter with $3.9 billion in cash, cash equivalents and short-term U.S. treasury securities. We retain access to additional liquidity of up to $500 million through our revolving credit facility, which remains entirely undrawn.
 Now turning to our outlook. For Q2 2024, we expect revenue of between $649 million and $653 million and adjusted income from operations of between $209 million and $213 million. For full year 2024, we are raising our revenue guidance to between $2.677 billion and $2.689 billion. We are raising our U.S. commercial revenue guidance to an excess of $661 million, representing a growth rate of at least 45%. We are raising our adjusted income from operations guidance to between $868 million and $880 million. We continue to expect adjusted free cash flow of between $800 million and $1 billion, and we continue to expect GAAP operating income and net income in each quarter of this year.
 With that, I'll turn it over to Alex for a few remarks, and then Ana will kick off the Q&A. 
Alexander Karp: Welcome to our Q1 earnings. I think it is fair to say we crushed Q1 in the U.S. We are on fire. You see this in our rule of 7 -- our Rule of 40 being 57, you see it in, the 68% (sic) [ 69% ] growth in U.S. commercial, if you do apples-to-apples following a 70% growth last quarter or 71% if you do apples-to-apples, taking out SPAC revenue. You see it in the deal growth in the U.S. growing from 70 to 136 in a year. You see it in the general enthusiasm around our products, especially in commercial, but also in government, which has begun to reaccelerate. You see it in general in our customer growth in U.S. comm, which grew 69%.
 And again, we are growing these numbers while maintaining a Rule of 40 Score of 57, which basically means we're doing the impossible. We are growing the company while investing in our core IP or software development. We are winning in the U.S. And then that kind of asked -- then leads to the question of why are we doing so well in the United States of America?
 And the main reason is we built software infrastructure that allows enterprises, both commercial and government, to move beyond chat, move beyond self pleasuring to actually produce things that are valuable and whether this is tasking satellites in the commercial context or changing margins or changing American workers into Japanese engineers using our software platform and large language models. You can -- we believe -- I believe we are the only company in America, the only really relevant market that will allow you to do useful things with large language models. And that is what's generating 68% growth in U.S. comm, again, with a nascent sales force, doing it in a way that is not kind of playbook specific, thin technology, it barely works, and you have a sales force, but with 10 years of IP that presupposed LLMs before LLMs existed.
 You see the same thing in the government, Shyam and others will talk about it, but our mission footprint, whether it's in Ukraine, Israel or in the United States government is stunning. There is basically no conflict in the world that is not -- that where Western allies are involved and the battlefields involved and the stakes are life and death, where Palantir is not the first call.
 And our ability to do this going forward is going to be even stronger because of the -- of past investments and also the unity of our culture and the strength of our leadership and in general, 20 years of understanding how to do this. It is true that it is mystifying to people, including analysts, how could this possibly be working? But it is working.
 And this is the sixth quarter of profitability, the sixth quarter of profitability. I dare, remind people that there was a time when no one thought we'd be profitable, when no one thought we could crack commercial, where revenue per person was called into question, that also grew roughly 26% year-on-year. Revenue per person generated at Palantir. We do have headwinds in Europe, 16% of our business in Europe. Europe is gliding towards 0% GDP growth over the next couple of years. That is a problem for us. There is no easy remedy for that. It is also the case, though, that U.S. comp surpassed U.S. -- European commercial and we see that as favorable. And I, in general, think this is just Palantir's time.
 Now there are lots of questions about why we are so active in defending the values of the West. The -- our belief that the West is a superior way to live and our ways of organizing around that are the reason why our products are transformative. The reason why we have the best people in the world. The reason why Palantir degree as it were is much more valuable than an Ivy League degree, before the Ivy League even embraced the thin and new woke religion otherwise viewed as an intellectual cause, but in fact, is a way of organizing things so that the greatest institutions of our time disappear and turn into discriminatory dysfunction.
 Palantir is a counter example. And I'm super proud of the results. We are going to continue to execute, especially in the U.S., and I'm very happy to have you on the call. 
Ana Soro: Thanks, Alex. We'll now turn to questions. We received a few questions from our shareholders about AI and competitiveness. Matthew and Ryan asked, how does your AI strategy differ from your competitors? 
Shyam Sankar: Well, we're executing our strategy at an unrelenting pace here. If you go back to the launch of AIP, I discussed how we thought the models were going to commoditize and that's really borne out. We see that underscored with LAMMA-370B being released now. But the real opportunity for us, as Alex made mention of, is that people are using LLMs incorrectly in the enterprise. And as far as I can tell, we're really the only company to figure out how to help our customers get beyond chat, leveraging the investments that we've made in ontology, really harnessing this pattern of implementation where you're taking unstructured inputs and turning them into structured actions and outputs that drive economic value in the enterprise.
 Now there's this thing that some companies have started saying where only 10% of my customers have data that's even AI ready to begin with. I think that's completely wrong. Maybe they don't have something to sell in the present moment so they're trying to sell in the past. But if that was right, how is it that in a single day boot camp, we're able to add value on top of our customers' messy extent data. Ultimately, software that works.
 And to the present moment, I'm focused on helping enable builders in the context of the enterprise. I made mention of the DoD Hackathon, where a single user built in AIP logic function, surface and GAIA assist that took a targeting process down from 6 hours to 10 seconds. More generally, in commercial, with Build with AIP, we are releasing a slew of tutorials, quick starts and reference implementations that are going to help turn every customer, every user into a builder to unlock the potential of what they can harness on top of AIP. And that's the way ahead, and that's why we're still ahead. 
Alexander Karp: And I would say, I don't believe we have competitors. So I don't believe in the U.S. commercial market, we have competition. I don't believe in the U.S. government market, we have competition. I don't -- I think that's the reason Ukraine and Israel bought our product. We are differentiated because in order to actually make AI work, you need an ontology. No one has an ontology. To Shyam's point, you have a lot of people running around saying the data isn't ready. Of course, it's not ready because they don't have foundry. If you have foundry and the ontology, it is ready. If you have foundry or Ontology and Apollo, you can actually work at the edge. If you don't, you can't.
 And it's -- outside of America, there's still -- we would still have to convince people of this. Inside of America, we're not really convincing people that we have the only thing that works. We're showing up. We're showing it working. And we're saying this is what it costs, and it's working really well.
 But I -- currently, I don't believe we have competition. We have a lot of people who are like the Palantir of Iowa or the Palantir of Harvard or the Palantir of Uruguay, but they're not Palantir. And it's going to take a long time to actually build what we have because you'd have to actually understand what is special about the software infrastructure of having the combination of Apollo foundry and the ontology. And then you would have to build on top of it so that you can actually do these handoff functions with large language models.
 And luckily for us, there is not a consensus at the investor level, VC level or among analysts that we have the only thing that works because -- and that means there's just going to be very little investment in comping and doing what we do. And investment in what we do outside of America would be hard to do anyway because the ecosystem, a term I don't particularly like, to get this done is in America. So you would have to do this in Silicon Valley and Silicon Valley is focused on, to Sean's point, the wrong things. 
Ana Soro: Our next question is from Dan with Wedbush. 
Shyam Sankar: So good, great quarter. My question is, can you just talk about what conversion looks like from boot camps? And maybe just double-click, on a typical customer, now that you have more and more data points, what's that showing you about conversion from a boot camp to actually signing a deal? 
Ryan Taylor: Yes, absolutely. I can talk to that. So we announced boot camps 2 quarters ago as a go-to-market motion. And we're seeing that play out as you see that in the results. So in 1 to 5 days with the boot camp we're able to do what used to take 3 months,  and we're seeing -- as I talked about, we're seeing customers shortly after boot camp signed 7-figure deals, and we're seeing the ability to be able to show them what they can do on the platform with real data much more quickly and then have that monetization conversation much sooner.
 And so then you see that in the results, 69% growth in customers in U.S. commercial. We closed 136 deals in Q1 this year compared to 70 deals in Q1 last year in U.S. commercial. That's a 94% year-over-year increase. And so we're seeing it's still early in the process, and we're seeing the results from the boot camps and seeing that they're working in the monetization from them. 
Alexander Karp: The boot camps also have, quite frankly, another massive advantage because de facto it sets a standard that will be very hard for any other company to meet. So even if you don't buy our product, you de facto have locked in an idea of what's possible. And that means that at some point when you go try your own thing and it fails, you've seen, okay, well, I've seen the art of the possible. And therefore, I'm going to go buy it from Palantir at some point in the future. 
 The boot camp motion is an early motion. And I don't think we would say we've cracked the sales motion. In fact, I think our 68% or 94% growth on deals or 69% on customer you have to look at this as we are at the way early days of figuring out how to actually get customers to buy our product. We are good at educating customers on what is the art of the possible and then some portion of those customers buy it.
 So I expect as we get better and better at that, our numbers will increase. But it is really early days. It's not -- we're not flawlessly executing on our sales motion. And I would say I saw this when we built our anti-terror platform. One of the most important things we did is go out and educate the world about how you could fight terror and maintain civil liberties. And most people, we actually offered our platform to did not buy the product year 1, but by year 5, they all bought it.
 And they bought it because they're like, okay, well, we see how you could integrate data across disparate data sets, maintain a security model, fight terrorism and being in conformity with the law. And even if you say, "Oh, I'm going to go try to do this myself", in fact, you can't. And then that sales motion -- so the integral -- the relevant integral for this is not just what you closed in the quarter. It is kind of throwing a carpet on the whole market and saying, okay, well, this is the standard. If you can do better than this buy it yourself, build it yourself, acquire it from other people. And if you can't come back to us, we're here.
 And that worked very, very well. I mean almost every country in the world, not every country, but almost every country in the world that could buy our core anti-terror product at some point did. 
Ana Soro: Our next question is from Mariana with Bank of America. 
Mariana Perez Mora: So it's also in the line of implementation, but less about the customer because I think the demand you're seeing in some percent that -- and we can see that you're seeing that both sides, like from the government side and the commercial side. What I'm really curious about is if you can give us some color around what is next in terms of actually making -- tackling this demand and implementing the efforts in supporting a way larger customer base. What is hiring? Where is partnerships? What is next there? And what is the most challenging from your point of view? 
Shyam Sankar: Well, I can certainly take that. Maybe Ryan will have some comments on the partnership side and the growth of that ecosystem. But on the product side, this is one of the reasons I'm most excited about, Build with AIP and the boot camps that we're running after we have deals with customers. We're really igniting a movement within the customer in terms of unleashing their builders and tackling use cases. There's been a shift like we still love to work on our customers' hardest problems and most important use cases to deliver crushing value very quickly, but concomitant with that is how do we enable every single one of their builders to get going.
 And I can think of the most recent, say, 2 quarters, our ability to come in there, help them solve one problem, but ignite hundreds of use cases that they're able to do on their own. So really even without needing additional partners leveraging repeatable reference implementations, reference architectures, quick starts, tutorials that get them going again and across different -- we have these for all the industries that we're working in for all the functions within these customers and including in government itself. 
Ryan Taylor: And on the partnership front, you see -- we announced our partnership with Oracle. We're seeing hyperscalers that are realizing that in order to drive compute, you need to move beyond chat, right? You need a solution that's taking organizations beyond there -- for their AI strategy beyond chat, we're seeing that happen there, and we're expanding the partnerships across the space with partners implementing at our customers as well. 
Alexander Karp: We have, across our company for the first time, ongoing discussions with hyperscalers that are well known with others where we're basically saying, look, we have the ideal product, you have the ideal distribution. You can build on top of our product and then capture your distribution at a higher margin. We're having discussions like this in Japan across UHG, but we have our efforts to provide our core infrastructure to defense tech start-ups, which are going very well simultaneously allow us to expand our core architecture or software development into the DoD, but also make us less competitive with people, which helps us a lot.
 So a lot of what slows us down is people pretending they're competing with us. So finding ways to build partnerships with those people so they don't compete, accelerates our revenue. And in U.S. comm, it's a lot of what Shyam was saying. It's we are allowing customers to do what we had to do in the past, which is supply Palantir software engineers. They're just not that many Palantirian. So we can't scale. We have to allow -- encourage and provide a platform where they can do it.
 And I would say what you see both on AIP and on foundry is de facto customers using our product pretty much on their own. And that's again why you see a revenue growth up to 26% compared to last year on per-person revenue because we're making more money with the same number of people but roughly. So -- and that's precisely because of these things that we're doing. And so that has a lot of benefits for us, both alignment and quality of revenue. That's why you have this rule of -- that's why we have 57 on the Rule of 40. That's why our revenue is growing per person. That's why we can get away with sales that are not perfect and we're thinking a lot about how to do that. 
Ana Soro: Thank you. Turning back to a question from our shareholders. A lot of people have noticed that Palantir is pretty outspoken when it comes to geopolitics. How has this been received? 
Alexander Karp: Well, it's a complicated question because I think internally -- I mean there have been people who have disagreed. There have been people who have disagreed to the point where they've left, and this has gone on over the last 20 years. When we refused to walk away from special forces, the U.S. Army, when we took over Maven, when we refused to stop working with Homeland Security, when we had discussions about which countries you should work with and which countries we wouldn't. More lately -- more time -- in a more timely version when we supported Ukraine, it was less controversial. When we sold Israel our software that was arguably more controversial.
 The fact that we -- that I take, I think the central risk to Palantir and America and the world is a regressive way of thinking that is corrupting and corroding our institutions that cause itself progressive but actually -- and it's called woke, but is actually a form of a thin Pagan religion. That is a real danger to our society. And it is a real danger to Palantir if we allow -- if we don't discuss these things.
 The reason we have, by far, the best product offering in the world is because we have, by far, the best alignment around how to build software, what it means to build software, full alignment with our customers. A view that some -- the western way of living is superior and therefore, it should be supported by the best products.
 People at this table have been in the trenches for over a decade each. Why do they stay? Why do they fight? Why do we come and do these calls? Why are we fighting for individual investors? Why are we -- why do we actually care about revenue growth in quarter?
 I mean, honestly, everyone at this table has a lot of money. It's like we care and we fight for these things because we believe we are fighting for a stronger, better, less discriminatory wealthier, more open and better society by providing the friends of the West U.S. industry, U.S. government, our allies, with by far superior products. And that's, by the way, how we -- you would be -- and that's how we align with our customers.
 By the way, I have customers who disagree with me, but they sure as hell know, I'm telling the truth about what we believe. And probably, more importantly, they know we're not a [ sophist ]. They know we believe in things. And that's why we fight for this culture, and that's why we fight for our products. And that's why our products are growing. Again, you can repeat all these numbers over and over again.
 How do you get 68% growth in U.S. comp with the 57 Rule of 40? How do you nearly double your customer count, your deal count, your customer account, all these numbers? You do it by having full alignment and the best products in the world. Or you can do it by having weird things that barely work and trying to manipulate clients into buying your product until they realize it barely works because it's thin and of no value.
 And that's just not how we roll at Palantir. So it has been really -- and by the way, on the last note, how do we have the best investors in the world, especially individual investors? Why do they stick with us when times were hard? Why do they fight for Palantir? Why do they -- every time someone writes something [ unique ], Palantir has gone [ MAGA ], Palantir doesn't have a product. Palantir doesn't have margins. I'm sure this quarter, Palantir's growth is decelerating despite the fact it's obviously -- I mean we're obviously crushing it in America. Palantir is too crazy. Palantir will never be profitable. Palantir can't IPO. Palantir is too weird and odd to produce something that will be disruptive.
 We knew it was bulls**t. The people who are out on the front fighting against that BS, fighting against lazy inept discriminatory in the sense that's ignorance, people maligning Palantir, do it in great part because they believe that we are fighting for them, and we are. And we're fighting for ourselves, and that's why we have such a great company. So thank you. 
Ana Soro: Thank you. That concludes Q&A for today's call.